Operator: Thank you for joining us today for GitLab’s First Quarter of Fiscal Year 2023 Financial Results Presentation. GitLab's Co-Founder and CEO, Sid Sijbrandij; and GitLab’s Chief Financial Officer, Brian Robbins will provide commentary on the quarter and fiscal year. Please note, we will be opening up the call for panelists’ questions. To ask a question, please use the chat feature and post your question directly to IR questions using the drop down menu. Before we begin, I'll cover the Safe Harbor statement. During this conference call, we may make forward-looking statements within the meaning of the federal securities laws. These statements involve assumptions and are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed or anticipated. For a complete discussion of risk associated with these forward-looking statements in our business, we encourage you to refer to our earnings release distributed today in our SEC filings, including our most recent quarterly report on Form 10-Q. Our forward-looking statements are based upon information currently available to us. We caution you to not place undue reliance on forward-looking statements, and we do not undertake any duty or obligation to update or release any revisions to any forward-looking statement, or to report any future events, or circumstances or to reflect the occurrence of unanticipated events. In addition, during this call, certain financial performance measures may be discussed that differ from comparable measures contained in our financial statements prepared in accordance with U.S. generally accepted accounting principles referred to by the Securities and Exchange Commission as non-GAAP financial measures. These non-GAAP measures are not intended to be a substitute for our GAAP results. We believe that these non-GAAP financial measures assist management and investors in evaluating our performance and comparing period-to-period results of operations as discussed in greater detail in the supplemental schedules to our earnings release. A reconciliation of these non-GAAP measures to the most comparable GAAP financial measures is included in our earnings press release submitted to the SEC. These reconciliations together with additional supplemental information are available at the Investor Relations section of our website, and a replay of today's call will also be posted on the website. I will now turn the call over to GitLab's Co-Founder and Chief Executive Officer, Sid Sijbrandij.
Sid Sijbrandij: Thank you for joining us for our fiscal year 2023 first quarter earnings presentation. But before discussing the quarterly results, as I stated last quarter, we remain deeply saddened and concerned by the unprovoked and unjustified Russian military invasion of Ukraine. The horrific acts of violence against the sovereign nation and its people and the terrible impact to all of those in the region. We continue to work directly with a small number of impacted GitLab team members in the region, and we're committed to providing ongoing assistance and support to them until the conflict is (ph) over. Now turning to our results. We believe that every company needs to become a software company, regardless of the macroeconomic environments. Our One DevOps platform drives compelling business outcomes providing our customers with what we believe to be distinct competitive advantage, being able to build, deploy, and secure software better (ph). Our pipeline of opportunities remain strong across the globe as we are addressing a large and early stage market opportunity. In the first quarter of fiscal 2023, we exceeded our guidance with revenue of $87.4 million and this represents revenue growth of 75% year-over-year. Our dollar-based net retention rate remains strong and exceeded our reporting threshold level of 130%. The primary driver of this metric continues to be an increasing number of users at existing customers, which we believe to demonstrate a significant return on investment we provide. We are committed to grown (ph) in a responsible manner and believe our first quarter results demonstrate the attractive unit economics underlying our business. While continuing to accelerate revenue growth, we also were able to show significant operating leverage. Our non-GAAP operating margin improved by 1,700 basis points year-over-year by 700 basis points quarter-over-quarter. Underpinning this acceleration in revenue growth is both a higher velocity of new customer wins, as well as larger strategic commitments. We achieved momentum in growth in both $1 million deals and $500,000 deals. In addition, we continue to experience strong success in upgrading existing customers and signing new customers to our Ultimate tier. Ultimate adoption represented the highest proportional mix of new logos landed during our first quarter of 2023 and Ultimate remains our fastest growing tier by addressing used cases for security, compliance and portfolio management. Today's macroeconomic environment is extremely volatile. There are a number of challenges that very few would have predicted just a few short months ago. Our customers and the economy at large are grappling with the war in Ukraine, ongoing disruptions related to the pandemic, labor shortages, rising inflation, increasing interest rates and dislocated supply chains among other issues. I want to dive more deeply into the broader factors driving our financial results. There are four main reasons why we believe GitLab is well positioned to achieve durable growth with improving unit economics over time. First, we believe the business imperative for digital transformations remain strong regardless of macro conditions. We are in the midst of a generational disruption, whereby we believe all companies are becoming software driven businesses and this requires an increasing number of companies to embrace modern software development practices, to deliver captivating mobile and digital experiences to their customers, as well as engage in cloud migrations, designed to provide agility and future proof (ph) their development, operational and infrastructure requirements. In essence, in a world where software defines a speed of innovation, we believe every company has to become great at developing, securing and operating software to remain competitive. Second, we believe the market we are targeting is very large and early stage in nature. We believe our One DevOps platform is addressing an estimated $40 billion opportunity. We're focused on selling a business outcome and a time to value. Thus, our competition is largely to Do-It-Yourself known as DIY DevOps solutions that companies have in place today. Third, we're addressing this estimated large market opportunity with a compelling platform. GitLab’s One DevOps platform provides one interface, one data, so one set of reports, one spot to secure your code, one location to deploy to any cloud and one place for everyone to contribute. This empowers all of an enterprises teams, including development, security, operations, IT and business to collaboratively plan, build, secure, and deploy software across an end-to-end unified platform. We believe our platform is the only true cloud independent end-to-end platform that brings together all of DevOps capabilities in one place. Combining all DevOps capabilities in one platform is so central to GitLab that we have incorporated the DevOps infinity look into our new logo, as part of a brand refresh, we undertook late in the first quarter. Fourth, one of our credit values, iteration is deeply ingrained and we believe creates competitive differentiation. We strive to do the smallest being possible as quickly as possible. And this value leads to more improvements that address customer problems in a shorter time frame. To provide some examples of this innovation, in the first quarter, we delivered enhancements in our Ultimate product in the area of security, compliance, and planning. Security needs are the main driver of DevSecOps. Our customers are looking to solve the pinpoint of a fragmented security experience, which slows down innovation and creates more risk. Our recent launch integrated security training functionality aims to help developers improve their efficiency and ability to address security issues as part of their normal development workflow. GitLab provides a comprehensive set of security scanning tools that can identify all types of security issues. Security findings are presented in merge requests, pipelines and in a dedicated vulnerability report and when available, a recommended solution is given. Equally important to security is compliance, and this is an area where a single DevOps Platform meets an important enterprise need. We released individual compliance violation reporting, which improves our compliance capabilities to capture a single view of projects. The compliance report now reports every individual merge request violation for projects within a group. This is a huge improvement over the previous version, which only showed the latest merge request that have won or more violations. The new version allows you to see history and patterns of violation over time. Fully automating end-to-end software development and delivery begins with planning. This is an area where all teams need to contribute. We introduced functionality that enables teams to collaborate better and track their dependencies across GitLab groups. Effective dependency management is a key component of reducing variability and increasing predictability in value delivery. We're excited about the improvements in the product and we believe the four factors mentioned earlier will allow us to capitalize on a long term durable growth opportunity. This growth opportunity consists of helping companies transition from DIY DevOps to a DevOps Platform. Most companies are still practicing DIY DevOps as they are juggling many different tools with homegrown integrations related to co-development, deployment and operations. These integrations take more and more effort and over time it starts looking like digital duct tape. This results in a disjointed organization, which constrains their ability to deliver software innovation. We believe the digital duct tape problem is increasingly recognized among both customers and prospects. This is resulting in a broadening of the market awareness for the One DevOps Platform. We are seeing a more frequent number of engagements where the prospective buyers have gone from not realizing that their DIY DevOps approach was holding them back. To now identifying that their complex in this joined tool chain is the issue. And from a business perspective, that means we can deliver both cost savings and productivity gains to our customers. We aim to accomplish this by eliminating the direct and indirect costs associated with manually integrating the complex tool chains inherent with the DIY DevOps approach. We believe our single application helps companies to deliver software faster, and improve organizational efficiency, security and compliance. Based on a study conducted by Forrester Consulting and commissioned by us, GitLab customers saw 407% return on investment within three years of deployment of our DevOps platform. These benefits can be broken down in four categories. First, there's a direct software tool license cost reduction, as customers are able to eliminate point vendors and consolidate software spend. Second, customers can remove tool chain integration costs. Third, customers realize greater productivity and a better overall developer experience. And finally, revenue acceleration can be achieved due to faster innovation as customer facing applications can be designed and deployed faster. The One DevOps platform delivers positive business outcomes for a very wide range of customers from single users to tens of thousands of users, from small organizations to Fortune 100 companies, from A to Z, from aerospace to zoology. We remain encouraged with the increasing numbers of strategic conversations happening at the C level. We continue to see increasing traction with our channel partners. And over the last year, we have increased our number and depth of Alliance Partners. We have also continued to invest in our partner program. And please let me give you some customer examples representing both new logo wins and expansions. First, a UK based retail chain with over 400 outlets and over 60,000 employees that sells household and homeware goods became a GitLab Ultimate SaaS customer in the first quarter of FY 2023. They chose GitLab to replace their Do-It-Yourself DevOps approach. Their existing tool chain contained a broad mix of tools, which was holding back their culture shift to DevOps and agile practice. This shift is key to their future digital transformation strategy. Second, a North American based technology company uses GitLab to drive efficiency and productivity throughout their development teams, primarily utilizing SCM and CICD capabilities. In late 2021, we became experiencing outages with another vendor that became worse over time. They evaluated GitLab's package management capabilities. And they migrated their usage to improve performance and continue enabling developer productivity. In addition, they implemented more advanced infrastructure to allow them to scale, partnering with GitLab's professional services team through dedicated training, workshops and strategic planning. This company was able to quickly expand and drive outcomes across developer self-service, high availability and automation, leading to growth in fiscal Q1 2023 that brought them to over 18,000 Premium seats. Third, Trendyol is the largest e commerce company in Turkey. They serve more than 30 million shoppers, deliver more than 1 million packages every day. As Trendyol has expanded its stable of services and platforms. Its developer teams had amassed a diverse and complex assortment of DevOps tools. Adopting GitLab Premium has allowed its DevOps teams to simplify operations and organize using a single platform. As a result, Trendyol has experienced a 30% improvement in developer productivity and a 60% reduction in build times and the ability to launch a new application 50% faster. In summary, I'm extraordinarily pleased with the quarter and I'm grateful to all our team members, partners, the wider GitLab community and customers who contributed to our results. As we look forward, we are seeing continued strong momentum for customers adopting our One DevOps Platform. I'll now turn the call over to Brian Robbins, GitLab's Chief Financial Officer.
Brian Robbins: Thank you, Sid and thank you again to everyone joining us today. I will quickly recap our first quarter results for FY 2023 and key operating metrics, introduce guidance and conclude with some additional context regarding our business, and how strong demand for our DevOps platform translates into a strong financial profile. First, let me turn to the quarter. We are pleased with our results as our business continues to perform at a very high level demonstrating improving unit economics despite macroeconomic volatility. We continually hear from our customers that GitLab is a highly strategic platform for them. Our platform is offered with a free version and two-paid subscription tiers, which we call Premium and Ultimate. Our paid tiers are priced per user with different features per tier. Every user within an organization is on the same plan, which helps us keep our business model transparent and easy to understand. Our customer base is very well diversified across industry verticals, customer sizes, and geographic regions. We do not see any slowdown in any key business metrics during the quarter. In fact, our pipeline in EMEA is actually stronger than it's ever been. We are happy with how we executed on team member hiring as we added more new people to the organization this quarter than in each of the previous eight quarters. We remain steadfast in our commitment to growing in a responsible manner. We also view the uncertainty in the macro economy as a benefit for hiring new team members. Now, turning to the numbers. Revenue of $87.4 million this quarter represents an increase of 75% organically from the prior year As of quarter end, we had over 5,100 customers with ARR of at least $5,000 compared to 4,500 customers in the prior quarter and over 3,100 customers in the prior year. This represents a year-over-year growth rate of approximately 64%. Currently, customers with greater than $5,000 in ARR represents approximately 95% of our total ARR. Just a reminder, with ASC-606, we have some upfront revenue recognition that we analyze on an annual basis. This may cause some fluctuations to the amount of license revenue were required to recognize upfront. If we normalize for this change this quarter, we still grew 70% year-over-year. We also measure the performance and growth of our larger customers, so we define as those spending more than $100,000 in ARR with us. At the end of the first quarter of FY 2023, we had 545 customers with ARR of at least $100,000, compared to 492 customers in the prior quarter, and 324 customers in the first quarter of FY 2022. This represents a year-over-year growth rate of approximately 68%. As many of you know, we do not believe calculated billings to be a good indicator for our business, given that prior period comparisons can be impacted by a number of factors. Most notably, our history of large prepaid multiyear deals. This quarter total RPO grew 92% year-over-year to $336 million We ended our first quarter with dollar-based net retention rate exceeding our reported threshold of 130%. The Ultimate tier is our fastest growing tier, now representing 39% of annual recurring revenue for the first quarter of FY 2023, compared with 26% of annual recurring revenue for the first quarter of FY 2022 and continuing to grow in excess of 100%. Non-GAAP gross margins were 90% for the quarter, which compares to 89% in the immediately preceding quarter and 87% for the first quarter of FY 2022. As we move forward, we are estimating a moderate reduction in this metric due to the rapid year-over-year growth rate of our SaaS offering. We saw improved operating leverage across the business this quarter, largely driven by revenue outperformance. Non-GAAP operating loss was $24.8 million or 28% of revenue compared to a loss of $22.5 million or 45% of revenue in Q1 of the last fiscal year. Q1 FY 2023 includes $3.7 million of expenses related to our JV and majority owned subsidiary. Operating cash used was $28.2 million in the first quarter of FY 2023, compared to $21.5 million used in the same quarter last year. In summary, we performed extraordinary well during the first quarter of FY 2023 on both the top and bottom line, and we believe our business is set up for continued strength. Now let's turn to guidance. For the second quarter of FY 2023, we expect total revenue of $93.5 million to $94.5 million, representing a growth rate of 61% to 63% year-over-year. We expect non-GAAP operating loss of $34 million to $33 million. And we expect a non-GAAP net loss per share of $0.24 to $0.223 assuming $147 million weighted average shares outstanding. For the full year FY 2023, we now expect total revenue of $398 million to $402 million, representing a growth rate of 58% to 59% year-over-year. We expect non-GAAP operating loss of $130.5 million to $127.5 million and we expect the non-GAAP net loss per share of $0.93 to $0.89 assuming a $148 million weighted average shares outstanding. As Sid mentioned earlier, we believe we're addressing a very substantial market that is currently under penetrated and that we're well positioned to capture an outsized portion of it. Despite the volatility in a macroeconomic environment in the first quarter, we have not seen any impact to our business. There has been no philosophical change how we run the business to maximize shareholder value over the long term. We continue to be focused on growth while driving incremental improvements in the unit economics of our business. A few more details on guidance and our model. As I mentioned last quarter, we will incur approximately $20 million of incremental expenses related to the resumption of travel and in person customer marketing events as well as new public company costs that were not incurred in the first three quarters of FY 2022. In addition, we now forecast approximately $22 million of expenses related to JiHu, our China joint venture. This compares a $12 million of combined JiHu and Meltano cost in FY 2022. I'd like to note, we have deconsolidated Meltano our majority owned subsidiary. On a percentage basis, our new annual FY 2023 guidance implies a non-GAAP operating margin improvement of approximately 700 basis points year-over-year at the midpoint of our guidance ranges. Over the longer term, we believe that a continued targeted focus on growth initiatives and scale in the business will yield further improvements in unit economics. With that, we'll now move to Q&A. To ask the question, please use the chat feature and post your question directly to IR questions. We are ready for the first question.
Operator: Thank you, Brian. We will begin by going to Kash at Goldman Sachs. Kash, will you please verbalize your question.
Kash Rangan: Sure. Happy to. Congratulations on the quarter. Sid, I'm curious to get your take on the product roadmap that's impressive and as wide as it is. I wonder how you prioritize which features you will be investing in, so as to maximize that revenue productivity. And also to furlough the company's ambition of getting to as many users as possible on the Ultimate edition. And as a follow-up to Brian, just a logical sequence there. What would be the company's targets or ambitions with respect to Ultimate edition. And therefore, if that works out well, whatever the numbers from it? What could be the impact of the financial model of the company? Thank you so much. Congrats again.
Sid Sijbrandij: Yeah. Thanks so much for your question. We're focusing our investment to enable people to go from DIY DevOps to the platform. We know If they can do that, if they can replace the point solutions, they see a great return on investment. On average, they're able to replace four point solutions in year one, year two, year three. The majority of our investment is going into create, verify and secure, but we're also making long term investments. Example, in compliance and in model ops, because with model ops, we see that software development, code development and ML and AI will converge in the future and want GitLab to be ready for that. This month, we released GitLab 15, our annual major release and we're excited about having our launch event in the third week of June. Brian?
Brian Robbins: Thanks, Kash. Appreciate the question. In terms of adoption for Ultimate, we see tremendous business outcomes from our customers who adopt Ultimate. And so we, as a company, GitLab believe that every customer should adopt Ultimate over time, given the tremendous value at the price point of owing $1,200 per developer per year. So ultimately, it gives our customers enhanced security features, compliance, vulnerability management and so forth just to name a few. And so Ultimate Now, just to remind you, 39% of our ARR up from 26% first quarter of last year.
Kash Rangan: Got it. Thank you so much.
Sid Sijbrandij: Thanks, Kash.
Operator: Great. Our next question will be from Michael at KeyBanc.
Michael Turits: Hey, guys. How are you? Just trying to -- gratefully on mute. Didn't happen [indiscernible], please.
Sid Sijbrandij: Doing well.
Michael Turits: Thanks, Sid. So fantastic -- the quarter results are great and fantastic to hear, you are not seeing any negative impact. But maybe Sid and Brian, if you can drill down on how you see customers, enterprises, midsize were reacting to fears of recession inflation, in terms of development projects or they simply saying, okay, no problem development in full speed ahead. Are they shifting those development projects from one priority to next? And then Brian, I just have a questions for you on the JV (ph) basis.
Sid Sijbrandij: Yeah. Thanks for that. Great question. We believe that every company needs to become a software company regardless of what the macroeconomic environment is. And the way to do that is DevOps. And maybe I can share a story what happened during the pandemic. Global Airlines saw their revenue crash, 90% plus reduction in revenue. And at that time, we partnered with three global airlines to help them expand their GetLabs footprint and to help them make that transformation. So our message resonates well. The platform approach helps customers to consolidate tools. And with that, they save money both on licensing and on integration costs. Brian?
Brian Robbins: And Michael, what was your question in regards to the JV?
Michael Turits: So on -- well, just to say this to be, just if I got to get there, this is a quick follow-up before the JV question. Do you see any change in the priority of projects. Obviously, you're saving the money, but are you -- and you've seen them shift the type of projects they want to do through you?
Brian Robbins: I believe we've not seen changes in any key indicators. In fact, our pipeline in Europe is stronger than it’s ever been.
Michael Turits: All right. And then Brian, on the JVs, so the JiHu expenses go from 12% to 22% in all time of deconsolidated. Is there any benefit to the income statement above the line by moving that below those expenses below the line?
Brian Robbins: No. Meltano is the only thing that we're deconsolidating. We did say that this would be last quarter that approximately it would be about $30 million and now it's going to be $22 million because we're deconsolidating it. We still are consolidating JiHu, our Chinese joint venture. And so all of our guidance basically incorporates us and you'll see the details on JiHu when we file our 10-Q later this evening.
Michael Turits: Okay. So $8 million benefit from the JiHu consolidation. Sound alike.
Brian Robbins: Correct.
Michael Turits: Thanks.
Operator: Thank you. Now we're moving on to Joel Fishbein at Truist.
Joel Fishbein: Congrats on the strong execution. I have -- I get two questions often. I just love you to address them both. First on competition and profitability. Can you discuss the competitive win rates? And then maybe give us some color on the balance or how you're thinking about the balance of growth and profitability going forward? Thanks.
Brian Robbins: Absolutely. Thanks, Joel. I guess first, it's important to say we're really, really early in a $40 billion market and our main competition as we talk about continues to be DIY DevOps. Companies need a way to plan, build and secure and deploy software. You enter deals and about half the deals, we don't see anyone else in the deal. We're competing against DIY or what they currently have. When we do see companies, we typically most run into Microsoft, Atlassian and Jenkins. They are the three that make up over 70% of what we run into on the deals. It's important to note that our win rate against Microsoft, whether they're in a deal or not in a deal is almost identical. And if you look at the total amount of deals that we're in, Microsoft accounts for less than 20% of the deals that we see them in. And so that's a little bit on the competition side. On profitability, I just want to go back and remind everyone, we land small and expand over time and the quarterly cohorts from over six years ago are still expanding to that, which is remarkable, which helps us with our net dollar retention rate. And these cohorts, not only are they still expanding, they're extremely predictable. And so we're continuing to show improving unit economics in the business. As a private company, a newly public company we’re grow at any expense or a public company in uncertain times. We have not deviated from our Strategy one bit (ph). And so if you look at this quarter versus this quarter last year, I think we actually demonstrated that. If you exclude JiHu, we almost had identical non-GAAP operating income for this quarter versus the quarter last year, we grew revenue 75%, which basically added $38 million of revenue for the same absolute profitability. And this is really consistent with the full year guidance we gave as well. And so Sid and I, as we said before, and we remain to this as we're committed and responsible growth.
Joel Fishbein: That's fantastic. Thank you.
Brian Robbins: Thanks, Joel.
Operator: Matt at RBC. You have the next question.
Matt Hedberg: Thanks for the question. Congrats from me as well. So, Sid, I had a question, it's great to hear about all the success in the platform. I'm wondering with all the advancements you're making in security, are you increasingly seeing customers come to GitLab from a security first perspective?
Sid Sijbrandij: I think it's an important driver. We know that for Ultimate, the main driver is security and Ultimate is our fastest growing tier. So it's a very important driver. We said in the prepared remarks, C level exec’s(ph) are increasingly common to us and they already know that their DIY DevOps isn't scaling and they need to consolidate. So that's very encouraging. And our security solution is helping customers shift security left, do it earlier so that it can be more comprehensive that it's easier to incorporate. I believe we have a very strong offering with static and dynamic analysis, first testing, container scanning, and also increasingly our compliance is a selling point, where with GitLab, it's much easier to prove to the auditors that you've done everything that's needed. They can just point at something. You have all the relevant documentation where today a lot of customers are doing that with DIY DevOps would have to make all of that themselves. So it's increasing and we more and more view ourselves as not just a DevOps company, but a DevSecOps company.
Matt Hedberg: That's fantastic. I couldn't agree more that certainly what our checks indicate. And then I guess just as a question, one question I think we all get on the phone here is the priority of spend. If the economy were to slow and it's great to hear a record pipeline in EMEA, how do you think your customers prioritize your spending? And I think we all believe we're in an apps driven economy. And that what you guys are delivering is super important. I mean, is it that level of criticality? And I suppose especially if there's a security angle here as well, you have to be pretty high up on the priority list. Is that kind of what you're hearing as well?
Sid Sijbrandij: I think I've touched on that with the global airlines. Brian, you have anything to add to that?
Brian Robbins: Yeah, Matt. Absolutely, I guess I learned in prep for this earnings call, I listened to several of the earnings announcements. And one common theme I heard is, the economic downturn and some of the uncertainty has been a catalyst for digital transformation. And we sit right at that critical spot where we run one platform, we have great business outcomes, you and every company is a plan, manage, secure and deploy software. And so we're positioned really well with that. We added more base customers this quarter than in the history of the company. And metrics across the board we’re extremely positive. And I think that really is attributed to the value proposition that we're offering our customers.
Matt Hedberg: Got it. Makes a lot of sense. Well done guys.
Sid Sijbrandij: Thanks Matt.
Operator: Karl at UBS. Will you please ask your question?
Karl Keirstead: Hey, great. Thanks, team. Maybe this one for Sid. Sid, I think everybody on the line has heard a lot of anecdotes about smaller VC backed tech internet companies that are being forced to cut their OpEx and headcount. I'm just wondering whether -- and I'm assuming by the way that a lot of those young engineering focused companies use GitLab. So maybe the question is two-fold. Are you seeing any pressure from that customer cohort that may have been offset by enterprise strength? And secondly, a related question, Brian, how large is the enterprise exposure of GitLab? I think at the time of the IPO, you gave us a 60% number, if I remember correctly. Are you able to date that, so really just trying to get at your exposure to these younger customers that might be under a little bit of duress? Thank you.
Sid Sijbrandij: Thanks for the question. Great question. I'll let Brian add to my answer. GitLab is the best when you have like a ton of point solutions that you replace. So the more complex the organization, the bigger the compliance requirements, the more value we can add. So we've always been very strong in large organizations. And what you see now is that maybe there is a hiring slowdown, but most people aren't on GitLab yet. So we have a lot of room to expand within the organizations in which we already landed. Together, GitLab and GitHub, we believe to be less than 5% of that $40 billion market. And as customers are forced to slow down hiring, they want to get more out of their existing people. And that's what GitLab can bring. They can do more with the people they already have instead of having -- without an end. Brian?
Brian Robbins: Yeah, absolutely. Just to echo what Sid said and what Sid said was spot on. We looked at sort of the VC backed startup community and to see how much of our current ARR was comprised of that and how much we think it will be. And we cut it several different ways and it was less than 5% every way that we looked at it. And so really, really small by sort of ARR and absolute volume. And then when you -- the enterprise amount as a percent of the total continues to be about the same. There's really been no change to that. So it's approximately 60%. If you throw PubSec on that, you're over 70% and so the two of those combined is pretty strong. And so very little exposure to start up VC backed companies and approximately 70% when you add Enterprise and PubSec. And Enterprise is as a percentage of the total. It's been very consistent since we went public and for a long period of time.
Karl Keirstead: Got it. Those are really helpful metrics. Thank you both and congrats on a great quarter.
Sid Sijbrandij: Thanks, Karl. Appreciate it.
Operator: Our next question is from Koji of Bank of America.
Koji Ikeda: Hey, guys. Thanks for taking the questions. Just one for me here. Maybe this question is for Brian. Just wanted to kind of ask you the magnitude of the B question. We got this question a lot over the past few months thinking about your performance here and where it could go and clearly here 12% of the revenue top line beat above the high end of the guide versus 10% last quarter, clearly better this quarter. So any thought process or just from a high level change to the guidance methodology or the way you're thinking about the annual guide versus the beat in the raised cadence, just what we experienced in the first quarter, especially considering the commentary that you had with the demand environment? Sure. Sounds really strong out there even with EMEA, even stronger than today. So any sort of help there in the way we should be thinking about your guidance methodology? Thank you.
Brian Robbins: Appreciate, Koji. Thanks for the question. Super happy with the quarterly results. It was a great quarter overall and happy that we committed to guidance at the midpoint of delivering $400 million in revenue, which is approximately 59% year-over-year growth. There's no change in the guidance philosophy. Early in the year there's lots of variables and so we guided to the number, we had an excellent quarter and so we did obviously beat and raise. One of the most favorite things about our model is the visibility that we have into our business. And so almost all of our revenues ratable which makes -- when you come up with guidance, makes it a little bit easier. And so as we reported the quarter, we're extremely happy with our results and guidance. And like I said, we raised our guidance for the remainder of the year.
Koji Ikeda: Got it. And just one quick follow-up. Kind of the license line with how has the self-managed and professional services and other kind of $10 million there in the quarter. Real strong growth, just could you talk a little bit about the components there? Was there a bit more professional services than anticipated or maybe could you break that down just a little bit?
Brian Robbins: Yes, absolutely. As I said in my prepared remarks, we reevaluate our stand alone selling price every year. This analysis is required and we're taking a little bit more upfront revenue. And so this quarter, we had roughly about $2.5 million worth of revenue that we took. Our growth rate would have still been 70%. Additionally, as a reminder, we've changed our business practice around our licensing earlier in the year. And so true ups have gone down from last year to this year. True ups in the SSP difference pretty much canceled out one another. And so all this is baked into our guidance for the full year.
Koji Ikeda: Got it. Thanks guys. Appreciate the color. Thank you so much.
Brian Robbins: Thanks, Koji.
Operator: Thank you. And it looks like our final question is from Derrick Wood at Cowen. Can you please verbalize your question?
Derrick Wood: Yeah. Great. Thanks. Congrats guys. Fine. I mean, you had mentioned the strength in the new customer generation. And I'd think of, but maybe kind of three core variables on what drives that and we've been seeing that number very strong for quite some time. But if you think about putting more feet on the street from direct sales, versus more of a C level agenda around DevOps platform initiatives versus companies kind of moving off of open source and wanting to get to a commercial vendor. How would you guys comment on kind of the rank order of those drivers?
Sid Sijbrandij: Thanks for the great question. So I think what's really important is the increase in channel. So channel is getting more and more important for us. And the other thing we're seeing is that Increasingly, C level exec’s are already convinced that they want to consolidate tools, where a few years ago, maybe they said, look, I'm doing this DIY DevOps thing. I just need some version control and can you sell me that? And we had to start from, hey, you know, there's something better. There's a DevOps platform. Today, they come in and say, look, I want to consolidate. I'm just looking for the best platform out there. So that helps us and it's great to see that recognition. I think it was first us and maybe our competitors who realized it and the analysts and now we see traction with customers. Brian?
Brian Robbins: Yeah, absolutely, Derrick. Great question. When we were going public, I talked about all the new go-to-market motions that we're adding. We're starting to see the benefit from all those. I think that plus the fact that the overall economy, the uncertainty there's been a catalyst for this whole digital transformation. Really happy as well with the AWS GCP since we're sort of a Switzerland and aren't aligned with one specific cloud provider, it's great to see the deals and the momentum that we're getting with them as well.
Derrick Wood: Great. And I guess just a follow-up on that same topic you guys hired Ashley Kramer as Chief Marketing and Strategy Officer. Anything to highlight that that we should be looking at out of what she's going be trying to do as she is on board?
Sid Sijbrandij: Yeah. We're super happy to be able to have her in the organization. She's really talented. I think what's important for us is that we appeal both to buyers and to users. So we have to do both right? And it's still a question of like telling the story, telling the story of, hey, you're going to move from DIY DevOps to DevOps platform. We're so very early in this market and that's where we're focusing our marketing efforts on.
Derrick Wood: That's great. Congrats again. Thanks guys.
Sid Sijbrandij: Appreciate it.
Operator: All right. Thank you for the questions. And with that, I'll turn things back over to Sid for closing remarks.
Sid Sijbrandij: Thank you for your time today. I'd like to thank our customers for trusting GitLab to help them achieve their business objectives. I'd also like to thank our partners, the wider GitLab community and GitLab team members for all their contributions. You all had a big part in our continued success. Thank you.